Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to IAMGOLD Corporation's 2012 Second Quarter Financial Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded on Tuesday, August 14 at 8:30 a.m., Eastern Daylight Time. I would now like to turn the call over to Mr. Bob Tait, Vice President, Investor Relations. Please go ahead, sir.
Bob Tait: Thank you, operator. Welcome to IAMGOLD's second Quarter Conference Call. Yesterday, Monday, August 13, we announced our financial results for the second quarter of 2012 which, along with the accompanying financial statements, notes and MD&A, can be found on our website at www.iamgold.com. If you've had time to read through our MD&A for the second quarter, you'll notice it's slimmer than usual, 28 pages versus 48 in the first quarter. Our finance team has been diligent in simplifying the documents, without compromising the contents so you should still be able to find all the information you need. Your feedback, however, will be appreciated. Joining me on the conference call today are Steve Letwin, President and CEO of IAMGOLD; Gord Stothart, Executive Vice President and Chief Operating Officer; Craig MacDougall, Senior Vice President, Exploration; Brian Trnkus, Vice President, Finance, who's filling in for our CFO, Carol Banducci, who is traveling today; and Tim Bradburn, Associate General Counsel and Corporate Secretary. Our remarks today will include forward-looking statements. I'll refer you to the cautionary language regarding forward-looking information and our disclosure documents, and advise you that the same cautionary language applies to our remarks during the call. We have prepared slides which can be viewed via our website. This call is being recorded for playback purposes. Now I'll turn the call over to our President and CEO, Steve Letwin.
Stephen Joseph James Letwin: Thanks, Bob, and good morning, everyone. While our result in the second quarter were in line with our expectations, we expect the pace of our development and expansion projects pick up in the second half, and we're confident we'll meet guidance for 2012. Sustaining profitability requires quality projects and greater control over what we do. As you know, 85% of our production comes from mines that we own and operate and 4 years with Côté Gold in our portfolio, we expect to move back closer to 95%. We're excited about our newest addition and with our year end resource update, we're targeting the conversion of a significant portion of the Côté Gold inferred deposit to the indicated category. I've always said our return on capital employed will be the key measure driving our strategies as opposed to growth at any cost. And I think more and more, we're going to hear companies that are industry-aligned with that thinking. On Slide 5, recapping our second performance. Our adjusted net earnings were $74 million or $0.20 a share, up 9% from the second quarter of 2011. This is before taking into account foreign exchange translation, lower valuations of our marketable securities and other items that don't measure how well we're operating the business. Revenues were up 19% year-over-year due to a higher volume of gold sales along with higher gold prices. Our operating cash flow from continuing operations and before changes in working capital were $72.4 million or $0.19 a share compared to $76.4 million or $0.20 a share the same quarter last year. You'll note that the $70.4 million final tax payments for 2011, which was fully approved for last year and had a $0.19 per share impact, was paid in the second quarter of 2012 and reduced our cash flow per share by $0.19. Because it's been previously accrued, it did not affect our earnings for the second quarter, and Brian is going to explain that more in a moment. Our gold margins of $856 an ounce in the second quarter increased by $38 from the same quarter in 2011, as the increase in gold prices offset the increase in cost. Our attributable gold production was 204,000 ounces in the quarter at 9% from 188,000 ounces in the same quarter in 2011, and the increase was primarily the result of having effectively addressed the technical issues at Essakane that limited production in 2011. While the tonnage of ore mined at Rosebel was impacted by seasonal rains, recoveries are improving with the near completion of the expanded gravity circuit. And at Sadiola we're taking steps to improve throughput and recoveries following some technical and mechanical issues, and Gord will talk more about that. On the next slide, we'll talk about key initiatives, and I'll say a few words about them, but leave Gord to provide a more complete overview. At Essakane, construction of the expanded plant got off the ground in the first week of July, following excellent progress in our negotiations with the government of Burkina Faso. The mining code in that country was designed well before there were any operating mines, and did not contemplate mine expansions. So that's why we had such lengthy negotiations with the government. We're covering everything from import duties on expansion-related equipment to more timely reimbursement of value-added taxes. We've had good talks with the government of Suriname as well. I'm going to be meeting with President again in September. And from what I'm seeing so far, I'm optimistic we'll have a signed definitive agreement in place by end of this year. We can then move ahead with the concept study to further define the expansion potential of the satellite resources. The Sadiola sulfide project continues to progress cautiously. I know it's been a long drawn-out process waiting for the green light from the Anglo board. But understandably, they want to see the power purchase agreement and tax costs [ph] finalized just like we did. We do, however, continue to target the end of 2014 for the start-up of the new plant to process the hard sulfide ore. At Niobec, we're on track for completing the expansion feasibility study by the third quarter of next year and finalizing the permitting process in 2014. We require no additional funding until we begin construction. The REE scoping study should be completed by the end of this quarter, and work has begun on the exploration drift from Niobec. At the Côté Gold project, the aggressive drilling program continues with the objective of upgrading a significant portion of the inferred resource to indicated category in time for a year end reserves in resources statement. Any of you expressed the much higher comfort level with this acquisition and then a better understanding the project economics following our Investor Day, so that was good to see. And we're looking to keeping you posted on our continuation of drilling and the results that we post from that program. I'll now turn you over to Brian to review our financial results.
Brian Trnkus: Thanks, Steve. Revenues of $410.6 million in the second quarter were up 19% from the same quarter in 2011. This was due to a 16% increase in gold sales, as well as higher year-over-year gold prices. The increase in gold sales was driven by a 25% increase in sales in Essakane, as the issues limiting production in 2011 were effectively addressed. Higher production at Rosebel, along with the timing of gold shipments also contributed to higher revenues. The second quarter revenues included 13,000 ounces that were produced in the first quarter. Turning to adjusted net earnings from continuing operations, we reported $74 million or $0.20 a share in the second quarter of 2012 compared to $67.7 million or $0.18 a share in the second quarter of last year. These results exclude the impact of items not indicative of our operating performance, such as impacts of foreign exchange translation and adjustments to the valuation of marketable securities. The year-over-year increase reflects higher margins from increased sales, partly offset by higher exploration spending, which is in line with this year's more ambitious exploration program. For the second quarter of 2012, the effective tax rate on reported earnings was 45%, and 35% on a year-to-date basis. And on an adjusted earnings basis, the Q2 effective tax rate was 37% and 34% for the first half of 2012. This is a 2% increase from the 2011 first half tax rate on adjusted earnings of 32%. Higher rate this year is due mainly to the increased spending on exploration in jurisdictions where we do not recognize tax benefits on these expenditures, effectively increasing our overall tax rate. In light of nonrecognition of tax benefits related to our record exploration spend anticipated for this year, we expect our adjusted annual effective tax rate to be in the range of 33% to 35%, and a rate of between 35% and 37% on a reported earnings. Excluding changes in working capital, operating cash flow was $72.4 million in the second quarter or $0.19 a share compared to $76.4 million or $0.20 a share in the same quarter of 2011. Similar to the second quarter in 2011, tax payments had a significant impact on cash flow. In addition to a $32.5 million tax installment for the current quarter, the second quarter included $70.4 million in final payments for the 2011 tax year. Large catch-up payment in the following year is expected when earnings are growing year-over-year and tax installments are generally based on prior year earnings. The second quarter per-share impact of these cash payments was $0.19 compared to $0.14 in the previous year. Attributable gold production in the second quarter was 204,000 ounces, bringing year-to-date productions to 411,000 ounces. In the second quarter, production growth at Essakane, together with higher throughput of recoveries of Rosebel, were partly offset by lower production at Sadiola. Not withstanding ongoing challenges at the joint ventures, we remain on plan for full year guidance. The gold margin for continuing operations increased $856 an ounce from $818 an ounce in the second quarter of 2011. The impact of higher gold prices more than offset cost increases. Total cash cost, which include royalties, were $737 an ounce compared to $697 an ounce in the second quarter of 2011. The 6% increase in cash cost was mainly the result of higher operating costs at our Sadiola and Yatela joint ventures. Costs per ounce were up in Mali due to high strip ratios and lower grades. If you exclude the impact of our 2 joint venture mines, Sadiola and Yatela, cash cost for the second quarter were $641 an ounce, an improvement from $666 an ounce the previous year. In addition to the proactive hedging program for oil and currencies, the second quarter was positively impacted by a recovery improvement at Rosebel and the stability at Essakane when compared to the production shortfalls in 2011. Looking ahead to the second half of the year, we expect cash cost to remain within our annual guidance. Revenue from Niobec was $48.4 million in the second quarter, virtually flat with the second quarter of 2011. Operating margins of $15 a kilogram were up $1 from $14 a kilogram in the previous year. We remain on track for meeting guidance on both the production and margin at Niobec. We continue to maintain a strong balance sheet with no debt and just over $600 million in available liquidity. The decrease from last quarter is mainly the result of the $480 million acquisition of the Côté Gold project. As of June 30, 2012, no funds were drawn against our $500 million credit facility for the Gold business or our $250 million facility for Niobec. With that, I'll now turn you over to Gord for our closer look at our operations and an update on our growth projects.
P. Gordon Stothart: Thanks, Brian, and good morning, everyone. I'm going to start with Slide 15 and talk about Rosebel. So at Rosebel, attributable gold production was 94,000 ounces, up 8% from the same quarter in 2011. The increase in production was a result of higher throughput and higher recoveries. The improving trend in recoveries from 90% -- 94% in the first quarter to 96% in the second quarter is partially the result of the expanded gravity circuit, coupled with improved circuit stabilization after installation of an expert control system in the grinding circuit. With the installation of the gravity circuit about 90% complete, it's been a partial operation with the first new Falcon concentrator being brought online in April and the second in May. Managed mine at Rosebel was virtually impacted by heavier rainfall as we signaled in our first quarter summary and was lower than the previous year due to longer haul since opening of the Rosebel pit. With a temporary pre-crusher already installed and the larger pebble crusher to be installed by the end of this quarter, we expect throughput to accelerate and expecting to see a good second half. In early 2013, we will complete the installation of the third ball mill, as well as complete the feasibility study to provide greater design detail around various expects of the expansion project. Essakane is operating well, with attributable gold production of 81,000 ounces in the quarter, up from 62,000 ounces in the second quarter of 2011. The issues curtailing production in the same quarter in 2011 have been addressed, although we are seeing a lower grades versus the prior year as per the original development schedule. In the first week of July, we'll be adding construction on the expanded plants, which will increase the throughput capacity for harder rock. This should be completed by the end of the 2013, with commissioning expected at the beginning of 2014. Total expenditures in the quarter were lower than originally expected, as we needed to reach final agreement on the fiscal terms as they relate to an expanded operation. As you heard from Steve, pleased with the direction negotiations have taken. With year-to-date production of 161,000 ounces, we're confident that the full year production at Essakane will fall within our guidance range of 320,000 to 345,000 ounces for the year. Moving to Sadiola. Although the unrested Mali has not had a significant impact on production at Sadiola, attributable production of 22,000 ounces was lower than last year due to a combination of factors: Lower throughput resulting from lower mill availability, lower grades and lower recoveries due to graphitic ore in the first half. To improve performance, we've installed an additional crusher to increase throughput of hard ore, we've installed equipment to increase the usage of the gravity circuit to improve recovery and we've taken steps to accelerate access to higher grade or in the satellite pits. We expect full year production to be at the lower end of our guidance range for Sadiola. Moving to Slide 18. At Niobec, production in the first quarter was up 9% from the same period in 2011 due to higher conversion of Niobian pentoxide and higher recoveries, partially offset by lower grades. On the expansion front, the feasibility study should be completed by the third quarter of 2013 and the permitting process finalized by 2014. Underground drilling continued in the second quarter with drill results as expected, and we continue to anticipate the upgrade of mineral resources to mineral reserves at Niobec. At Westwood, shaft is now at a depth of 1,705 meters, and more than 6,800 meters of lateral and vertical excavation has been completed this year to date. The project remains on track for start-up in early 2013. Infill delineation and resource expansion drilling continued to show an extension of the mineralization giving us increasing confidence in reserves and resources. And now, Craig will provide an update on exploration.
Craig S. MacDougall: Thanks, Gord. We're now on Slide 20. Given the substantial increase in our exploration budget this year, we've been busy with exploration activity underway at 20 projects at varying stages. Exploration expenditures in the second quarter were $36.6 million, up 33% from the second quarter of 2011. You'll note that plant exploration expenditures for 2012 are now $157 million compared to our original forecast of $131 million, mainly due to the inclusion of a $19.4 million for the Côté Gold project. As we said before, we remain very bullish on the near mine potential at Essakane, and continue with our aggressive program to delineate potential resources at Falagountou cells [ph] on other priority satellite targets, including the Gossey - Korizena trend. Initial results of the drilling of the northern expansion of the main pit confirms extensions to the targeted mineralization and are being assessed for their potential to add to the existing resources. While infill drilling within the satellite Falagountou deposit has been restricted by extensive artisanal workings, drilling continued to test for extension southeast of the deposit. In Rosebel, we completed 36,000 meters drilling mainly at the Mayo, Koolhoven and Pay Caro deposits, and we'll be incorporating these results into to updated resource models as they are received and will reflect this in our year end mineral reserves and resource update. Drilling activity also resumed at the Kalana and Siribaya projects in Mali towards the end of the quarter. Although the assay labs are heavy backlogged, we are receiving results which we are incorporating into our geological model. Specifically for the Kalana project, we continue to work towards the resource estimates by year end. At the Rare Earth deposit adjacent to Niobec, we initiated an infill diamond drill program to follow up encouraging drill results from the first quarter. This program is designed to upgrade the mineral resources as part of our pre-feasibility study that will commence in Q4 pending the results of the scoping study scheduled for completion this September. Work has also begun on the exploration drill from Niobec, which will allow for the collection of a bulk sample and provide access for future underground drilling. We expect to complete the drill in early 2013. At the Côté Gold project in Ontario, drilling continued in June following the completion of the acquisition. Technical report incorporating the results up to including July will be filed in October of this year. The pre-feasibility study will begin in the fourth quarter. And with our year end reserve and resource update, we're targeting the conversion of a significant portion of the inferred resource to an indicated category. I'll now turn you back to Steve for the wrap-up.
Stephen Joseph James Letwin: Thank you, Craig, Gord and Brian. To sum up, I would say that 2012 is unfolding as expected, and we continued to maintain our long-term production forecasts as previously stated. We've proven that by sticking to our netting and executing a disciplined strategy, we can do what we set out to do. When I look back at what we've done in the past 20 months since I've been here, I wouldn't change a thing. That's why we continue to run a profitable business and that's why return on capital will continue to dictate where we invest our money. Share prices remained under the gun. We're not going to be able to fight the market. What we need to do is execute. And we're bullish on gold and we're well-positioned to ride the ups and downs. We've been very forthright and transparent with our investors about our plans and our performance. We set expectations and I intend to do everything in my power to meet them. So stay tuned. Now, we'll be pleased to take your questions. Thank you very much for joining the call.
Operator: [Operator Instructions] Our first question comes from Anita Soni.
Anita Soni - Crédit Suisse AG, Research Division: My question's with regards the disclosures since Bob was inviting us to get a little of feedback. I'm just wondering, your total operating tons that you report for each of the assets, is that basically everything that's expensed, the waste and the ore material, and then you divide the strip ratio to figure out what the ore is?
Brian Trnkus: That's correct. I'll confirm it, but I believe that is correct, yes.
Stephen Joseph James Letwin: That's Brian.
Anita Soni - Crédit Suisse AG, Research Division: Yes. So then I just want to confirm that a couple of the operations I think was particularly Sadiola and Essakane. It seems like the ore material is underperforming the amount that's actually going into the mill. I'm just wondering, are you sourcing from stockpiles?
P. Gordon Stothart: Yes, it's Gord here. That's exactly right. At Essakane, we've been, as per the original plan, we built a lot of stockpiles ahead of the start-up at Essakane so that we can access higher grade ore in the second half of 2010 and 2011. So this year, as planned, we are now harvesting some of those stockpiles marginal or not marginal medium-grade and stockpiles back into the mill, while we're accessing more transition rock from the pit.
Anita Soni - Crédit Suisse AG, Research Division: Sure. So could you just let me know what the amount of the stockpile is and the grade at Essakane?
P. Gordon Stothart: The total stockpile?
Anita Soni - Crédit Suisse AG, Research Division: Yes.
P. Gordon Stothart: Or the amount sent to the mill?
Anita Soni - Crédit Suisse AG, Research Division: No, the total stockpiles that you have, the internal tonnage and grade.
P. Gordon Stothart: I don't have those numbers on hand, but we can certainly get them to you.
Operator: [Operator Instructions] Our next question comes from Salim Ben Mansour.
Salim Ben Mansour - BMO Capital Markets Canada: My first question on Essakane. You had the guidance initially of $220 million and it seemed that the CapEx spend is lower to date. I just wanted know if you were planning to catch up in the second half or spend less this year?
P. Gordon Stothart: It's Gord. We are going to catch up a lot of that in the second half, but not the full amount. We re-guided at the end of the first quarter downward on our total spend for the year, basically pushing some of those expenditures into the start of 2013. I don't have the exact full year for Essakane, but I think it came out in the first quarter release.
Salim Ben Mansour - BMO Capital Markets Canada: Okay. Another question on Essakane. In terms of throughput following the expansion, what would you looking -- for following the upcoming expansion, what kind of throughput both for soft and hard ore? And then when are you planning to get to process hard rock only ?
P. Gordon Stothart: We are not actually putting a soft rock number on it because by the end of 2013 or early 2014, when we're commissioning the plant at Essakane, we're going to be effectively into 100% hard rock. And the nameplate capacity for the expansion is 10.8 million tons per year.
Salim Ben Mansour - BMO Capital Markets Canada: Okay. And on the Rosebel, with the addition of the third ball mill, what kind of throughput would you be targeting?
P. Gordon Stothart: Well, overall, what we're looking at for all the work we're doing at Rosebel right now, the go-forward case is looking at, nominally 14 million tons a year on 100% hard rock once we've got the full plant installed. After the third ball mill, it's a bit of give-and-take because the hard rock percentage is increasing every year. I believe last year, we did 12.6 million, 12.5 million tons at Rosebel. This year, we're looking at a similar number. We're going to creep slowly up to the 14 million by 2016. But I would say, the third ball mill next year, we're probably going to be in the 12.8 million to 13 million.
Salim Ben Mansour - BMO Capital Markets Canada: Okay. And will that be at the expense of grades, or are you still looking at the same profile or -- in terms of the grade?
P. Gordon Stothart: When we get into the hard rock, typically, the grade goes up a little bit because the cut-off grade higher due to the higher energy requirement, so I don't have the exact number. I know we're working on new reserves and resources at the end of the year. But when we got into harder rock, typically, you're going to see a bit of an uptick in grade.
Salim Ben Mansour - BMO Capital Markets Canada: And one last question on Doyon in terms of mining cost. Just trying to reconcile what you had in the MD&A in terms of cash cost with what you showed in terms of mining cost for Canada in financial statements like $5.6 million. Just trying to see what comes into play with the difference.
P. Gordon Stothart: The production of a couple of thousand ounces you see at Mouska is actually related to the clean-up of the plant. We've cleaned up thickeners and the number of other parts of the plant as part of the refurbishment of the Doyon mill or Westwood. The cost you see there are not really related to the mining cost at Mouska right now. Mining cost at Mouska are going into the stockpile and going into working capital because we're not processing that ore right now. Those costs will be coming back out next year when we treat the stockpile at Mouska or together with the start-up of Westwood.
Operator: Our next question comes from Don MacLean.
Don MacLean - Paradigm Capital, Inc., Research Division: Just a couple of bits and pieces. Gord, maybe can you just give us sense of how long this Yatela cannon will be floating around on the decks? When does it finish?
P. Gordon Stothart: The current mine plan has us into 2014 for final production, minor production in 2014.
Don MacLean - Paradigm Capital, Inc., Research Division: Great. Okay. I'm sure you'll be relieved to see that finished. On the Westwood, you mentioned it's on track. How about the vis-à-vis budget?
P. Gordon Stothart: Versus our project budget, we're on track. Versus the planned spend for this year, we're a little bit higher because some stuff got slipped at the end of 2011 into 2012, so there was a few construction items that passed from the one budget year into the other budget year. But in terms of total project cost, we're pretty much dead on where we said we're going to be.
Don MacLean - Paradigm Capital, Inc., Research Division: Okay. And back to Essakane, maybe one of the softer issues of the whole security situation in that part of the world. Any change in that? Or maybe you can give us a bit of an overview of how things are faring there?
P. Gordon Stothart: No change at Essakane itself. We continue to monitor the situation very closely as to what's going on, obviously, in Northern Mali and what the impacts on Burkina are. The refugee situation in the northern part of Burkina, the Tuaregs that came across the border right at the initial part of the conflict, those numbers are fairly stable. We have been working with the Burkinabe government and the U.N. and other aid agencies really in the background, supporting their efforts with those refugees. But we haven't seen any new influxes or any significant changes in the numbers there. We're obviously very -- we're watching with a lot of support for the efforts of the ECOWAS, the West African security and financial coalition for the efforts they're putting in to help Mali return to normalcy as quickly as possible, and to address the issue at Northern Mali.
Don MacLean - Paradigm Capital, Inc., Research Division: Great, okay. And then lastly, I guess this one's for Brian. Sorry, I didn't get a chance to get into details of the MD&A, but can you, in very simple terms, explain why the earnings in the cash flow per share numbers are the same in the quarter, and what we should be looking going forward, because I think there was a significant variance from what others were feeling the consensus and what was the $0.19?
Brian Trnkus: So you're referring to the cash flow per share variance to the expectations?
Don MacLean - Paradigm Capital, Inc., Research Division: Well, yes, just the cash flow per share was 19% and the adjusted earnings were $0.20. And usually, we expect a bigger spread than that.
Brian Trnkus: Right. So in terms of what we report as adjusted earnings, we obviously remove things that are not indicative of earnings. And from an adjusted cash flow perspective, we take our operating cash flow and remove changes in working capital. So they're not adjusting necessarily the same thing, so it's probably more coincidence that the numbers are similar.
Stephen Joseph James Letwin: Steve Letwin. The second quarter is always, for the company, historically, a tough quarter to communicate in terms of cash flow. We have that large cash tax payment that's usually in that quarter or has been in the quarter which really causes distortion in what we're recording. We tried to get out with analysts and give them a better review of what's happening in the quarter because many of the models, it doesn't reflect this, what I recall, anomaly, which is unique to iron gold. So from a cash flow standpoint, I'm very happy about where we sit. And in fact, as you add back the working capital and the taxes, we're very much in line, if not, higher than consensus. It's trying to communicate this with the audience at large. It's always difficult. It's not as predictive as, I would call, companies that have their domain in North America because of the presence we have in West Africa. So in terms of our full year guidance, we're on track, we're going to deliver that. And if you normalize it for gold prices particularly, I'm very pleased with the performance. So we'll be happy to sit down with you and take you through that.
Operator: Our next question comes from Alec Kodatsky.
Alec Kodatsky - CIBC World Markets Inc., Research Division: Just have a couple of quick questions. To kick it off at Sadiola, is there anything that you're seeing in the ore body itself that mainly to greater recovery improvements relative to where you're at now, or is it all more or less reliant on the processing changes that you're putting in?
P. Gordon Stothart: In the near term, we're expecting certainly a much improved metallurgical performance at Sadiola, and in fact, we certainly have been seeing that over the past number of weeks here. The issue in the early part of the year, and I don't want to pull out a violin and give you a sob story here, we had some high-grade material that was targeted early in the year. When we -- when they started processing it, they ran into some issues with preg robbing [ph] that was highly graphitic, and really negatively affected the recovery. The mine to adapt to that stopped feeding the graphitic ore, but the only alternative sources they had were some lower grade oxide stockpiles and some sulphide ore, both of which also suffer from recovery compared to the average. On the positive side of Sadiola, the first half of the year, they had very good mine performance. And what that has allowed them to do or allowed us to do is in the satellite pits, they were able to get down and access some higher grade material that was in there -- in the reserve, but that had been planned or originally thought was not going to be able to be accessed until later in the year. We're into that material now, and we are seeing those improved metallurgical results as a result.
Alec Kodatsky - CIBC World Markets Inc., Research Division: Okay, that's great. And just moving to Westwood, wondered if you can give some sort of color as to where the stockpile stands today and where you might expect it to get to prior to start-up?
P. Gordon Stothart: I don't have the numbers on the stockpile. I know they're stockpiling right now, but I just don't have any sort of a concrete figure. Not only are we stockpiling from Westwood, but we're also, obviously, as I mentioned earlier, stockpiling from Mouska. Our expectation is still to start early in 2013, as -- when the refurbishment of the concentrator is complete. And we're still very happy with the guidance that we put out with respect to Westwood for next year in terms of finances.
Operator: [Operator Instructions] And it looks like that was our last question. I will now turn it back to Mr. Bob Tait for closing remarks.
Bob Tait: Thank you, operator. Thank you, everyone, for dialing in. One thing I will note that along with the 43-101 that we are putting out for the Côté Gold project in October, we're thinking of doing a tour there on October 22. It's the date we have in mind. If you see any serious conflicts, please let us know, and we'll get a notice out on that shortly. And other than that, if you have any follow-up questions, please don't hesitate to call either Laura or myself, and I will follow up on the few items that were raised and not answered on the call. Thank you very much for calling in.
Operator: Ladies and gentlemen, we thank you for your time and attention. This conference is now concluded.